Operator: Good day, everyone, and welcome to the Kforce Q3 2025 Earnings Call. Just a reminder that this call is being recorded. I would now like to hand the conference over to Mr. Joe Liberatore. Please go ahead, sir.
Joseph Liberatore: Good afternoon, and thank you for your time today. This call contains certain statements that are forward-looking, are based upon current assumptions and expectations and are subject to risks and uncertainties. Actual results may vary materially from the factors listed in Kforce's public filings and other reports and filings with the SEC. We cannot undertake any duty to update any forward-looking statements. You can find additional information about our results in our earnings release and our SEC filings. In addition, we have published our prepared remarks within the Investor Relations portion of our website. Results for the third quarter exceeded our expectations across the board, with overall revenues of $332.6 million and earnings per share of $0.63, both surpassing the high end of guidance. We mentioned on our last call that we experienced unexpected early quarter assignment ends at a select few clients in our Technology business. Subsequently, we were successful at driving a consistent expansion in the number of consultants on assignment throughout the third quarter. I also want to recognize the progress our team has made stabilizing and now meaningfully growing our FA business. I'm very proud of our team's accomplishment in driving this business forward against a persistently challenging macro backdrop. The momentum that we've seen has carried into the fourth quarter, which puts us in a position to expect to deliver sequential billing day growth in the fourth quarter in both our Technology business and our FA business. The ongoing federal government shutdown, along with the continuing global trade negotiations and potential derivative negative effects on the U.S. consumer and broader U.S. economy continues to make the near-term outlook hard to predict as exhibited by the continuation of mixed economic data. Recent data continues to suggest a persistently weak and largely frozen labor market, marked by prolonged stagnation in job gains coming off the post-pandemic euphoric period. However, our internal KPIs improved throughout the third quarter, and this translates to an increase in consultants on assignment, which has continued into early Q4. While it is too early to suggest that we will see sustained broad-based improvements in demand, our team's consistent execution of activities across our portfolio of market-leading companies that typically lead their industries in capital deployment within technology was a significant driver to strong Q3 results and early Q4 trends. Recent trends, when combined with the increasing backlog of critical technology initiatives suggest to us that companies may not have sufficient capacity once the current macro uncertainties subside. In addition, our historical experience is that companies typically turn to flexible talent solutions as an initial step prior to making core hires while they assess the durability of the macroeconomic conditions. The relative impact of AI on revenue trends versus the impact of weakening economic and softening labor markets continues to be hotly debated. Regardless, this uncertainty may intensify the use of flexible talent as companies prioritize agility until they gain clearer insight into how these technologies will reshape their overall business and talent strategies. Generative AI remains a central topic in our discussions. We are confident that AI and other emerging innovations will become increasingly vital in driving business success, though these benefits are likely some years away and will require investments that we are well positioned to support. We have witnessed transformative shifts before, such as the migration from mainframe to distributed processing, the emergence of the Internet, the mobile revolution and the move to cloud computing. The emergence of the Internet likely most closely aligns with AI. Unlike other secular technology shifts, the Internet and AI directly impact operating models and broadly touch virtually all white-collar roles in some manner. The Internet secular shift followed a typical investment and integration cycle pattern. Initial exuberant, massive infrastructure investment combined with fear-driven investment, premature abandonment of legacy systems, realization of integration and modernization needs, a return to balanced strategic investment and finally, workforce transformation and skill shortage. In speaking with many executives, it is clear the realization stage is set in, and we might be in the early stage of transition to a return to balanced strategic investment where demand for our services began to accelerate during the Internet cycle. While initial phases of technology secular shift often bring concerns about workforce disruption, these transitions ultimately created new opportunities, expanded existing roles and redefined responsibilities, fueling further investment in technology. We believe generative AI and its offshoots into agentic AI and cognitive AI is in the early innings of evolution and may just be starting to mirror this historic pattern, which has in the past cycles, been an opportunity for Kforce. Securing the right talent, organizing the right teams and launching focused initiatives is essential for organizations to successfully adopt and maximize these new tools. We are well equipped to meet the growing need for foundational AI readiness and to deliver access to evolving skill sets as businesses advance their AI strategies. Our strong position should allow us to increase client share and expand into new clients, continuing our track record of gaining market share and reinforcing the solid foundation that drives lasting value for our shareholders. We have established a strong foundation at Kforce and remain committed to investing in the evolution of our business through our strategic priorities, all of which are meaningfully progressing. Our domestically focused organic growth strategy continues to serve us well, minimizing distraction and enabling our people to fully concentrate on partnering with clients to solve their most critical business challenges. Before I conclude, I'd like to take a moment to thank the remarkable people who make up our Kforce team. I am deeply proud of the performance, resilience and unwavering commitment shown across the organization. We're privileged to work alongside such a talented, united and passionate group of professionals. It's because of the people who make up Kforce, we're in such a strong strategic position, one I wouldn't trade with anyone in our space. We are confident in our path forward, and I couldn't be more excited about what lies ahead. Dave Kelly, our Chief Operating Officer, will now give greater insights into our performance and recent operating trends. Jeff Hackman, Kforce's Chief Financial Officer, will then provide additional detail on our financial results as well as our future financial expectations. Dave?
David Kelly: Thank you, Joe. Total revenues of $332.6 million exceeded the high end of our expectations. Revenues in our Technology business declined 1.1% sequentially and 5.6% on a year-over-year basis, and our Finance and Accounting business grew approximately 7% sequentially and declined slightly more than 8% year-over-year. Macroeconomic uncertainties have largely persisted throughout the quarter. However, our clients continue to prioritize mission-critical initiatives, although many are taking a measured approach as they await greater confidence in their technology road maps and AI investment strategy, along with greater visibility in the macroeconomic environment, we saw a sustained improvement in our KPIs and consultants on assignment throughout the third quarter. As a point of reference, consultants and assignment grew roughly 4% from the early third quarter lows. The improvements in our business spanned many industries and were not driven by a few large projects. Rather, we saw positive impacts across many clients and talent acquisition models, inclusive of both our legacy staff augmentation business as well as consulting engagements. The increase in demand also spans skill sets from application development to digital, data, AI and the cloud. Impacts from earlier DOGE efforts and the more recent federal government shutdown have been and are expected to be nominal given our limited exposure to this space. We continue to execute on our strategic enhancement of our consultant-oriented solutions capabilities, responding to increased client demand for cost-effective access to highly skilled talent. This evolution positions us to deliver greater value through flexible delivery structures and differentiated expertise. Our consulting-led offerings have continued to contribute positively to the overall results of our Technology business, supported by a robust pipeline of qualified opportunities. This approach has been a key driver to the performance of our Technology business and has enabled us to maintain stability in our margin profile and average bill rate. The expansion of solutions-based engagements underscores our adaptability and commitment to meeting evolving client needs, strengthening long-term relationships and market relevance. Although traditional staffing revenue has declined year-over-year, the continued growth of consulting-led engagements validates our strategic direction and positions us for sustained growth and enhanced profitability. An increasingly important aspect of providing cost-effective solutions is our ability to source highly skilled talent from outside the United States. Our development center in Pune, combined with robust U.S. sales and delivery capabilities and a high-quality vendor network enables us to comprehensively address client needs through onshore, nearshore, offshore and blended delivery models. The average bill rate in our Technology segment has remained steady at approximately $90 per hour over the last 3 years, even amid macroeconomic uncertainty. This stability is driven by a growing mix of consulting-oriented engagements, which typically command higher bill rates and deliver stronger margin profiles. Demand across our core practice areas, data and AI, digital, application engineering and cloud continues to be robust, and our pipeline of consulting-led opportunities is expanding. These disciplines are essential for the development and deployment of AI tools, and we expect companies will increasingly require access to specialized talent to achieve their objectives, creating significant opportunities for our firm. Our ability to provide flexible talent, whether through traditional staff augmentation or consultant-oriented engagements positions Kforce to capitalize on growing investments in AI, including readiness initiatives while continuing to support core technology areas that remain active. Many companies lack in-house AI expertise, so they rely on external providers such as Kforce for strategy conversations, talent sourcing and solutions engagements and execution. Our core strength lies in delivering quality talent at scale and adapting to evolving skill demands. By providing access to top-tier professionals, we can solve complex technological challenges. We ensure our services remain indispensable even in broader industry as trends fluctuate. As technology has advanced over the decades, we've consistently evolved alongside it, reinforcing our role as a trusted partner in driving clients' technological progress. Our client portfolio is diverse and is predominantly comprised of large market-leading companies. Staying focused on their evolving priorities remains essential to driving sustainable long-term above-market performance. Looking ahead to Q4, with momentum in new engagements building throughout Q3 and carrying into early Q4, we anticipate a sequential billing day increase in our Technology business during the quarter. Flex revenues in our FA business, currently about 7% of total revenues, declined 7.3% year-over-year, but saw a 6.9% sequential growth in the third quarter, the first time in several years that FA has shown consecutive quarters of sequential growth. Our average bill rate of approximately $53 per hour notably improved year-over-year and is reflective of the higher skilled areas we are pursuing. We expect Q4 revenues in F&A to be up sequentially on a billing day basis. I want to thank this team for its perseverance in driving positive momentum in this space. We continue to align our associate staffing levels with productivity expectations, prioritizing the retention of our most productive associates while making targeted investments to ensure we are well positioned to capitalize on accelerating market demand. Over the past 3 years, we've selectively invested in our sales teams while rationalizing delivery resources, which have decreased by nearly 45% during that period and investing in productivity tools. Despite these reductions, we believe we have sufficient capacity to absorb several quarters of increased demand without adding significant resources, particularly as we enable AI solutions to gain greater efficiencies. Additionally, we remain committed to investing in our consulting solutions business. We believe the stabilization we experienced in Q3 signals growing confidence in the market and reinforces the strength of our strategic positioning. We are energized by the opportunities ahead and remain committed to delivering exceptional results. With a proven track record of above-market performance in our Technology business for well over a decade, we are confident in our ability to sustain this momentum. Our success reflects the deep trust and partnerships we share with our clients, candidates and consultants, relationships that continue to drive our growth and innovation. I'll now turn the call over to Jeff Hackman, Kforce's Chief Financial Officer.
Jeffrey Hackman: Thank you, Dave. Third quarter revenue of $332.6 million and earnings per share of $0.63 exceeded our expectations. Our teams have done a nice job working effectively with our clients to recognize the value of our services from a pricing perspective. Overall gross margins of 27.7%, up 60 basis points sequentially, meaningfully exceeded our expectations due to an increase in Flex margins of 50 basis points and a slightly better-than-expected mix of direct hire revenues. On a year-over-year basis, overall spread has been stable, though gross margins declined 20 basis points due to lower direct hire mix. Flex margins in our Technology business increased 50 basis points sequentially due to lower health care costs and slightly expanding spreads and were stable year-over-year. As we look forward to Q4, we expect Flex margins to remain stable outside of typical seasonal impacts due to higher consultant utilization of PTO around the holidays. Overall, SG&A expenses as a percentage of revenue of 22.8% increased 60 basis points year-over-year, primarily driven by deleverage from lower revenue and gross profit levels. We continue to make targeted investments in our sales capabilities while maintaining disciplined cost management across the rest of the business. At the same time, we are advancing key enterprise initiatives that while contributing to near-term SG&A pressure are critical to our long-term strategy. These include the implementation of Workday, the ongoing maturation of our India development center and deeper integration of our solutions portfolio. Our consulting business and offshore capabilities are positively contributing to stabilizing revenues and gross margins, and we expect all of these initiatives to drive higher levels of profitability as the demand environment improves and revenues grow. We anticipate beginning to realize benefits from our Workday implementation more significantly in 2027 as we stabilize post go-live. Our operating margin was 4.5%, and our effective tax rate in the third quarter was 22.3%. During the quarter, we remained active in returning capital to our shareholders with $16.2 million in capital being returned through dividends of $6.8 million and share repurchases of approximately $9.4 million. We continue to maintain a strong balance sheet with conservative leverage relative to trailing 12-month EBITDA. Looking ahead, we expect to reasonably maintain net debt levels consistent with the third quarter with any excess cash generated beyond our capital requirements and quarterly dividend program to be directed towards share repurchases. Our dividend remains an important driver for returning capital to shareholders, the level of which leaves ample room for continued share repurchases. We continue to maintain significant capacity under our credit facility, which provides ample flexibility to accelerate repurchases should we see fit. In addition, in October 2025, our Board of Directors approved an increase to its share authorization to an aggregate of $100 million, which we believe reaffirms to our investors our future intentions to continue driving our business forward organically and returning significant capital to our shareholders. Our current credit facility is scheduled to mature in October 2026. As a result of favorable market conditions, we have taken steps to refinance our existing credit facility with a new credit facility that we expect to close over the next week or 2. We expect to retain essentially the same very attractive terms and conditions as are currently in place over the next 5-year term. Operating cash flows were $23.3 million and our return on equity continues to exceed 30%. We continue to execute our organically driven strategy with strong results, and we believe our industry-leading performance reflects our focused approach in providing U.S. technology staffing and solutions complemented by our nearshore and offshore capabilities. Our balance sheet remains pristine with conservative debt levels, and we consistently return significant capital to shareholders. Share repurchases remain highly accretive to earnings. And since 2007, we have returned approximately $1 billion, representing about 75% of cash generated while growing our business and building a foundation for meaningful profitability gains as revenues expand. Our threshold for any potential acquisition remains very high. The fourth quarter had 62 billing days, which is 2 fewer days than the third quarter of 2025, but the same as the fourth quarter of 2024. We expect Q4 revenues to be in the range of $326 million to $334 million and earnings per share to be between $0.43 and $0.51. This guide implies a midpoint of $330 million in revenue, which reflects a sequential improvement in both technology and FA revenues on a billing day basis and a further improvement in our year-over-year comparisons. The expected income tax rate for the fourth quarter of approximately 32.5% contemplates a lower deduction on the vesting of restricted stock given the decline in our stock price. This presents an EPS headwind of approximately $0.04 in the fourth quarter relative to last year and a $0.07 impact from Q3 2025 tax rate levels. Our guidance assumes a stable operating environment and excludes the potential impact of any unusual or nonrecurring items. We remain confident in our strategic position and our ability to deliver above-market results while continuing to invest in initiatives that drive long-term growth and support our profitability objective of achieving double-digit operating margins and approximately 8% when annual revenues return to $1.7 billion, more than 100 basis points higher than when that level was achieved in 2022. These objectives reflect anticipated benefits from our strategic investments, which are expected to reduce operating costs. On behalf of our entire management team, I want to extend our sincere appreciation to our teams for their outstanding efforts. We would now like to turn the call over for questions.
Operator: [Operator Instructions] We'll take the first question today from Trevor Romeo with William Blair.
Trevor Romeo: First one I had was, I guess, the 4% increase in consultants on assignment you talked about from the low point of the quarter to the end. Nice to see that for one. I guess my question is, can you give us a sense maybe considering, I guess, we haven't had a normal year in a while, but what a typical July through September period would look like in a prior year? Just maybe trying to get a sense of would you view this as a return to normal seasonality or just kind of more than that? Or how are you kind of thinking about that pattern?
David Kelly: Yes. Trevor, this is Dave Kelly. So to your point, we did see some nice improvement in consultants on assignment, the 4% you mentioned, and I'll just reiterate the comment that, that has continued through the month of October as well. So we're seeing some nice sustained growth. As I kind of compare it, hard to compare it, right, because what is normal. But if I kind of think about pre-pandemic levels, it probably was slightly higher than that, although this is, for us, a reasonably healthy growth rate here. But certainly, we've seen higher growth rates in the past. But again, this is a positive statement, we think.
Trevor Romeo: Okay. Great. And then Question on your gross margins. I think Flex gross margins came in above the guide coming into the quarter, it sounds like health care was less of a drag from the cost side. You did have, I think, a comment about slightly expanding spreads. So I just wanted to ask, one, I don't know if the mix shift to consulting is included in that comment. So how much did that help? And then if there was an increase in sort of the underlying spreads on a like-for-like basis, what do you think were the drivers of that?
Jeffrey Hackman: Yes. Trevor, it's Jeff. Good to talk with you. I think certainly, we talked about health care costs for the last couple of quarters. And certainly, what you heard from the scripted comments in the third quarter, that was certainly much less so it was actually favorable in the quarter. So that ran better than we expected. When you look at the spreads in the business, I guess I'll start what I mentioned in my prepared remarks, and I think our teams have done a really nice job of working closely with our clients to ensure that we're effectively pricing the value that we're bringing to the equation. I think, Trevor, you look at the components of this, and certainly, we've talked in the past, we look at our overall Technology business, both in terms of traditional staffing and the solutions work that we do. I think certainly, a mix of growth is definitely a driver there. We've talked about our consulting-oriented engagements contributing positively to our Technology performance. Those historically and is still today, those typically carry 400 to 600 basis points of higher margin. So with that mix of growth, that's certainly benefiting us there. I also think when you look at the client drivers, there are some puts and takes, certainly from a mix perspective that's benefiting us from a spread perspective. Traditionally, for us, we've talked about the higher skilled areas that we play in. Our average bill rate being roughly $90 an hour has been very stable for several years. Certainly, in that higher skilled area, you would expect a little bit more durability from a pricing perspective. So I think the higher quality skill sets that we continue to focus in and technology is certainly boding well. And then I'd say the other is internal. This is a continued emphasis for us, even more so in 2025. And I think our people have stepped up to the plate and recognizing the value that we're bringing to the equation.
Trevor Romeo: Okay. Great, Jeff. And then if I could maybe sneak one more in just on H-1Bs and potential for the much higher fees just to kind of get you on the record here. I believe you do essentially no, maybe very little new H-1B sponsorships. You do have some experienced people on H-1Bs. So maybe just help us understand your overall exposure there. Is there any concern that eventually this could flow through to your talent pipeline? And then conversely, is there any potential benefit to your domestic talent?
David Kelly: Yes. Trevor, Dave Kelly again. So to your point, the proclamation that came out, I guess, what, about a month or so ago, 1.5 months ago, and the $100,000 fee. As we understand it, I think there's been some clarification in the proclamation just over the last couple of weeks that this fee specifically relates to new visas, right? So to your point, we do virtually 0 new H-1B visas. We don't bring anybody in. So our model is to sponsor visas and transition employees from people who are already in the United States. So to your point, our exposure in the immediate sense is essentially nothing effectively. And I think important to note for the individuals here, they have an opportunity to renew their visas. That also is not covered by the proclamation and eventually maybe a half the citizenship. So for us, in the near term, as at least it relates to the access to talent, we don't expect there to be any real impact to our business. Now obviously, theoretically, if this is a permanent change, that will have an impact on where we source talent. But I'll remind you, right, our core competency here is in recruitment. So we have -- in many ways, have the ability to access talent through H-1B visas, other visas, domestic talent. So for us, we just see this as something that we're going to have to think about it as it evolves and make sure that we still got access to talent. The other thing that I would mention to you, as we think about this, scrutiny in the visa process is probably even more important. And we're very proud of our compliance record and the approval rates that we have in transitioning visas amongst, if not the best in the industry. So for us, from a competitive standpoint, we feel good about where this is and the minimal impact it will have on our business. Frankly, we've got companies who have come to us when they've got difficult situations still the case. And if there is uncertainty, they look to us from a quality standpoint as, in some cases, the first place they'll go when they want to transition H-1B or other employees from other providers that they might have. So there is a competitive opportunity for us here in the near term as well.
Joseph Liberatore: Yes. And this is Joe. The last thing I would give you, if you play it out, if -- one, obviously, there's a number of lawsuits that have already been filed. So we're not sure where this will end up. But if it were to become law and play out, when do you start to feel that probably 4, 5, maybe 6 years from now, 6 years, obviously, which would impact all the people that are currently on visas. But it's important to note as well. There's 85,000 visas that are typically approved on an annualized basis. The applications are typically in any given year, 4 to 10x the amount that are granted. And we play in the high-end skill, the highest demand skill area. So more than likely, those are the individuals who are going to be gobbling up the majority of those visas. So really don't see any long-term impact for us as well.
Operator: The next question is Alex Sinatra from Robert Baird.
Alexander Sinatra: This is Alex on for Mark Marcon. I was just wondering, you mentioned higher interest in AI-related projects. I was kind of wondering if you can give some more detail on the types of engagements you have been more involved with and what kind of work that entails? And also, I guess, what outlook you're seeing so far on demand for those services and how those engagements may change over time?
Joseph Liberatore: Yes. I would say the majority of the work that we see our teams onboarding, it continues to be in and around foundational readiness work aspects associated with data. I just came back from the IT Gartner Symposium, and you didn't -- I don't think there was a conversation I was engaged with whether it was with a CIO, a senior tech person or a CEO where they're not dealing with data challenges. Tremendous amount of modernization of legacy systems as well to prepare for AI. And obviously, cloud touches everything, and then you have security and governance. So most of the organizations, they are really getting after the preparation phase associated with AI. And what we're also seeing on the use case side of the equation, we've seen a number of clients that are ahead of the curve, predominantly technology-oriented companies that are executing some AI initiatives. I would say in general business, we've seen general business pull back a lot on their AI use cases and they have really narrowed their focus to more of an operational type AI use case where they have a very centralized data repository where they can control that data to look at those opportunities. We're also hearing the ROI challenges out there. People, as they get deeper into these projects, are really being challenged to get the ROI from things that they're doing on the AI front. So the good news is all this preparation work still has to happen to take advantage of it, irrespective of how long it takes AI to ultimately play out. So I would say that's pretty much the backdrop. So it's been broad-based and pretty much the things that we're really aligned in and around, especially from our solution side of our business. Those are all areas that we have key practices in.
David Kelly: The only other thing I would add to what Joe said, and I think this is particularly relevant in the readiness work that's being done, the buying behavior of clients is not exclusive to long-term project acquisition as well, right? We're seeing demand in any number of our talent acquisition models, all the way, obviously, from solutions-based, deliverable-based project work, but all the way through to staff augmentation. So this is a positive contributor to the demand and staff augmentation as well. So important to kind of make sure you don't take a specific distinction in how the buying behavior is being done by clients.
Alexander Sinatra: Got it. That makes a lot of sense. And then on the consulting side, obviously, that's been a positive contribution to your results, both from a growth and margin perspective. I was wondering if you could give some more color on the type of engagements you're in and the magnitude of that contribution as well as where you expect that to go as things like AI become a bigger focus?
David Kelly: Yes. As I think I mentioned and Jeff mentioned, that continues to be a real bright spot for us, right? When we think about the revenue trajectory, certainly, the engagements that are being supported by our consulting team have been a real bright spot. And their practice areas, as we've said in the past, right, are in cloud. They're in digital, data, AI and application development engineering. So pretty broadly across all those things. I would tell you, as we think about the demand environment there, we've seen a real uptick. And I think you mentioned this last quarter, even more so this quarter, the pipeline of opportunities in the digital and data space continues to grow as well. So you're certainly seeing the investment in the readiness work that Joe was just alluding to coming our way as well. So just where you would think it's coming.
Operator: We'll take our next question today from Tobey Sommer with Truist Securities.
Tyler Barishaw: This is Tyler Barishaw on for Tobey. I want to go back to the AI point and how you're helping companies with road maps. Can you maybe touch on how much revenue engagements are contributing today? And maybe what is the margin profile of the engagements like?
Joseph Liberatore: Yes. So it certainly is a growing part of our business, right? It has been, as I said, a bright spot for us, but we've never really disclosed the percentage of the revenue stream that we're seeing here. It's certainly a significant portion, but it is not the majority of the business at this point in time. Margin profile, Jeff alluded to the fact that we've had very stable gross margins. Part of that is because this has been a growth part of our business for the last couple of years, and we typically see margins for a lot of these consulting-related projects could be as much as 400 to 600 basis points higher than the traditional staff augmentation model. So it is a benefit in terms of mix because of the growth trajectory.
Tyler Barishaw: Got it. Makes sense. And then you mentioned on consulting growth with being -- this has -- facing staffing revenue declines. Can you maybe talk about how close you are to a staffing revenue bottom and when we can return to growth? Or maybe what are some of the elements that could allow us to return to growth in staffing?
David Kelly: Yes. So I would -- maybe I'll reiterate the trajectory of the business that we've seen, right? So we've mentioned some of the declines that we saw right at the end of the second and the beginning of the third quarter. But prior to that, if you think about the last couple of quarters, we really have seen a stabilization of the consultants that we've had assigned. And that is across the spectrum of business we've seen, right, staff augmentation and our consulting services both as well. And as I mentioned in my prepared remarks, as we saw the consulting growth of 4%, growth from that low point that we saw at the beginning of the quarter and then even higher than that as we moved into October, again, broad-based that is inclusive of contribution from staff augmentation and consulting. So I don't want to say we're going to call a bottom, right, because we haven't seen many, many data points of growth, right? I don't want to go out and limb here, but it is certainly promising as we saw stability Q1 to Q2 absent those specific client dynamics and then some growth in our staff augmentation business in Q3 and what appears to be a positive Q4, we guided sequentially up again in our Technology business. So we're certainly seeing some signs here that things are certainly firming, and we'll see where it goes from here.
Joseph Liberatore: Yes. And what I would add on to what Dave just mentioned there, being there, we saw growth in both staff augmentation and the solutions side. I would really attribute that to the integrated model that we've deployed within our organization, where we're really leveraging relationships and being able to bring those services to the customer that the customer needs at a given point in time versus trying to push one service versus another. So I think unlike many others that we've heard about out there that are talking about declines on the staff augmentation side with growth more on the consulting side here in Q3, we saw growth in both of those and our forward-looking trends also point to growth in both of those areas into Q4.
David Kelly: And the other thing I would say is it's really promising about this, and again, I alluded to this, this is not industry specific. This is not geographically specific either. So we're seeing it pretty broadly, right? I mean obviously, we've got a high-level skill set that we focus on. But we're seeing it across industry. We're seeing it across geography. And so we've had a lot of positive contributions from a number of markets this quarter. So it seems to be, again, relatively broad-based.
Operator: The next question will come from Josh Chan from UBS.
Karandeep Singhania: This is Karan Singhania on for Josh. So I'm just curious if you're seeing any benefits from the reallocation of budgets [indiscernible] that you saw last quarter. I think in the last quarter, you highlighted some negative impacts from that. So I'm just wondering if that kind of liked flipped this quarter and you saw some of the projects that you're working on to see some additional funding over there.
David Kelly: Yes. If you recall last quarter to your point, there were a couple of specific clients where we have seen some reallocation of budgets, which is I think what you were referring to. I would say, as we've gone through the third quarter, we haven't heard that. As a matter of fact, obviously, as we've been talking about, there's a lot of pent-up demand, a pretty significant pipeline of activities. Joe alluded, I think, in his remarks to the fact that if there are critical things that need to get done, it is a natural tendency for companies when there's uncertainty, and I think there still is uncertainty in the marketplace that they will look for flexible talent first. So we could be, as I think you alluded to, be entering a typical period here that we've seen in previous beginnings of recoveries in the flex cycle.
Karandeep Singhania: Got it. Okay. That's helpful. And as my follow-up, I'm just wondering, I think it looks like the line is pretty big, but just hoping if you can provide some color on the [indiscernible] and markets or where it goes? Are there any specific industries that are showing like early signs of stabilization or any green shoots over there?
Jeffrey Hackman: Yes. I'll just reiterate the comment I previously made. It is -- I mean, has every industry been up? No. But has there been many disparate industries that have grown for us sequentially? Absolutely. Now I've said in the past, we need to be careful here because the demand that we see, we don't do business with every client in every industry. So clients are driving behavior and there in every industry clients that we see increases from and probably some mild reductions in projects and there as well. So no, it is not industry specific. It is broadly -- if we were trying to pinpoint a driver, I wouldn't pinpoint a driver of any type of activity. I mean -- so no, it is definitely broad-based.
Joseph Liberatore: One of the drivers for potentially this being broad-based is, I don't want to date myself here, but if we go back to the dot-com era, and we look at how that cycle played out, the first phase was hype investment surge in new technologies driven by fear of missing out or being disrupted as well as investments in building out infrastructure. Then right shortly thereafter, we saw a halting of legacy investments with organizations pausing or reducing their spending out of fear of those systems imminently being obsolete. And then ultimately, what happened was a reality check hit, where organizations realized that the new technology is not a cure all with significant work needed to integrate and modernize their legacy systems. And then once that reality hit, basically, we saw a balanced investment come back in where they really returned to investing in legacy modernization while strategically positioning to leverage new technology. Then the last stage was really an overall workforce and skill redistribution where technologies roles shifted. Some disappeared, many new roles created, many others had to integrate additional skills. It's clear when you start to read white papers, when you start to read some other mainstream things out there, reality check has hit. And again, coming out of the Gartner IT Symposium, that was a main theme that you heard in speaking, whether it be the presenters that reality has hit everybody on what it really takes to leverage AI and what organizations have to do. And if we are coming out of that reality into that rebalancing, it's the same thing that we saw during the dot-com. Coming out of that is when we saw the need for our services start to pick up as people started to rebalance their investments across the board. So I'm not calling that, that's exactly where we are, but there are an awful lot of similarities. And I use the dot-com specifically because out of all the secular technology shifts that I've seen in my career, I've been doing this for 38 years. That one parallels AI most because those -- both of those impact work models, operating models and they touch all white-collared individuals within organizations. So there's a lot of parallels and a lot of similarities.
Operator: [Operator Instructions] We'll go next to Marc Riddick from Sidoti & Company.
Marc Riddick: A lot of my questions have already been touched on. I just maybe want to throw in maybe 1 or 2 others as far as what you're seeing with AI, digital and the like. I was wondering, could you maybe talk a little bit about -- do you have a sense as to current growth drivers, maybe the mix between cost savings driven versus growth driven?
Joseph Liberatore: Yes. I think -- and again, a lot of this was discussed at the Gartner conference as well. I think everybody started out on the productivity side and everybody is struggling with getting the ROI on the productivity side. I was with -- I had the opportunity, I was invited to spend time with 19 other CEOs to really hear firsthand what they're experiencing. And there was one key theme that I heard is everybody started out because of a lot of pressure from boards and to get after AI, out of disintermediation, fear of missing out, went after a lot of use cases. Most of them have really scaled back those use cases. Many of them went after productivity. And where I was hearing where people are having success are really on what I'll call operationalizing business processes that are very focused and very narrowed where it's very measurable to get the return. And so that's really where we're seeing organization shift. And again, I'm not talking about the large tech organizations that obviously are getting after AI to embed into their products so that they can sell their products. I mean I'm talking general mainstream business. So we've really seen and what I heard is a real narrowing of the focus to get after an AI initiative. The other thing that many are struggling with is the ROI in terms of everybody scoped the AI initiatives out just based upon the technological cost and then the added cost that people are now experiencing because of the amount of change management, training and all the post-implementation costs, that's really making the hurdles even that much more difficult from an ROI standpoint.
Operator: Everyone, at this time, there are no further questions. I'd like to hand the call back to Mr. Joe Liberatore for any additional or closing remarks.
Joseph Liberatore: Well, I'd like to thank you for your interest and your support in Kforce. I'd like to express my gratitude to every Kforcer for your efforts and to our consultants and clients for your trust and faith in partnering with Kforce and allowing us the privilege of serving you. We look forward to talking to you again after our fourth quarter of 2025. Thank you.
Operator: Once again, everyone, that does conclude today's conference. We would like to thank you all for your participation today. You may now disconnect.